Operator: Good evening. My name is Emma and I will be your conference operator for today. At this time, I would like to welcome everyone to the Amwell Q1 2023 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speaker’s remarks there will be a question and answer session. [Operator Instructions] Thank you. I would now like to hand the call over to Sue Dooley, Head of Investor Relations of Amwell. Please go ahead.
Sue Dooley: Hello, everyone. Welcome to Amwell’s conference call to discuss our first quarter end of 2023. This is Sue Dooley of Amwell Investor Relations and joining me today are Amwell’s Chairman and CEO, Dr. Ido Schoenberg; and Bob Shepardson, our CFO. Earlier today, we distributed a press release detailing our announcement. This release is posted on our website at investors.amwell.com and is also available from normal news sources. This conference call is being webcast live on the IR page of our website, where a replay will be archived. Before we begin our prepared remarks, I would like to take this opportunity to remind you that, during the course of this call, we will make Forward-Looking Statements regarding projected operating results and anticipated market opportunities. This forward-looking information is subject to the risks and uncertainties described in our filings with the SEC and actual results or events may differ materially. Except as required by law, we undertake no obligation to update or revise these forward-looking statements. On this call, we will refer to both GAAP and non-GAAP financial measures. A reconciliation of our GAAP to non-GAAP financial measures is provided in our posted earnings release. With that, I would like to turn the call over to Ido. Ido.
Ido Schoenberg: Thank you, Sue and hello, everyone. I’m pleased to report that Q1 was a very busy quarter for our company one that provided a strong start to the year. We had three key accomplishments from the quarter that I want to highlight. First, we have made great progress with health system migrations and pair deployments are underway. Second, strategic clients went live this quarter, providing valuable in market validation of the power and scale of Converge, our unique all person one-stop-shop platform that supports the delivery of hybrid healthcare. Third, we put in place the building blocks that we believe will enhance reacceleration of our bookings, and we began to generate traction and momentum. I will speak to that in a moment. More than ever, it is clear that healthcare leaders need a partner to help them address the challenges of today, and deliver the promise of digital first care. Our unique approach to the market is resonated. On tonight’s call, I will detail some of our progress as we pursue our key strategic initiatives, and I will speak for a moment about the market for our solution. After that, Bob will review some key metrics, our financial results and our guidance. Then we will be pleased to take your questions. We began the year energized with the knowledge that much of the transition to Converge is behind us. We are also empowered by the validation of strategic clients, who are selecting us as their partner. During Q1, we maintained the pace of client migrations and visit on Converge rose to 36% of total visits in Q1, up for 28% at year’s end. A few examples of these successful migrations and implementations included Carilion Health, [Alif Medical] (Ph) Medical, Oatman Health and Intermountain Health. I’m proud of our teams who drive these migrations. Our expertise in hybrid care best practices and deployments remains a differentiator in helping our clients achieve their care delivery initiatives of today and as they make plans for the future. As we progress with migrations, Converge continues to deliver exceptional scale, efficiency and experience. For example, in February, we completed a full system launch with health partners out of Minnesota. This enterprise wide go live is integrated with Epic and used by clinical teams across many specialties and health partner’s clinicians are already conducting as many as 3000 visits per day. Now, I would like to speak for a moment about our bookings related activity as we pursued a tremendous opportunity in front of us. Q1 was busy with engagements with new and prospective clients across the parent provider universe as well as effort to expand our footprint within our existing client base. Here are a couple of examples. We began the year on a strong footing. As one example, I’m proud to share a significant new customer win with leading West Coast health system. This organization is replacing a legacy offering and will leverage and well behavioral health solutions to improve response times, throughput and reduced length of inpatient stay. Continuing with bookings and yet another example of the potential that exists within our existing client base, we won a large expansion with a multi-state, blue cross, blue shield plan. Aiming to consolidate vendors, this client partner chose Amwell to extend beyond telehealth to achieve important and strategic goals around digital first hybrid health enablement. I’m pleased with how our relationships with these truly innovative organizations are growing beyond trust to telehealth provider to key strategic hybrid care enablement partner. Continuing with our efforts to build on our momentum in the market, our teams were busy in Q1, keeping a high profile at industry events. In all of these events, we are leading with powerful client examples with demonstrable ROI based outcomes, that are focused on the top priorities of healthcare leaders today. Here are a few examples: At ATA this quarter, our Chief Medical Officer, Carrie Nelson, presented with digital health leaders from St. Luke and Prisma Health. On stage, they discussed the value of hybrid approach to care. St. Luke spoke to addressing the nursing shortage by extending care with virtual nursing centers that reached more patients and geographies. And Prisma spoke to addressing the worsening shortage of nurses with automated chat features. They achieved a high chat resolution rate, which drove an associated 57% reduction in nurse calls with episodic checks. And with our ED discharge program, Prisma described an estimated $4 million per year savings with reduced re-admissions to the ED. We have a growing stable of testimonials supporting our innovative, purpose built and AI powered automated asynchronous care programs. For example, it seems our clients from UCSF, with more children in the University of Pittsburgh Medical Center Health Plan presented their business case for numerous automated programs. The common threat from these presentations validates our hybrid care approach that delivers higher rate of patient engagement, reduce costs plus that improve patients and clinician satisfaction. Our booth of things was well attended and was organized around a compelling visualization of the patient journey and our unique role as the enabling partner for digital first approach to healthcare interest was high, and we held a record number of client meetings at this important event. Now I would like to take a moment to discuss the market for our solution. After a robust quarter of client facing events, it is clear from the feedback that - well we are on the right path, delivering a solution that enables and empowers our clients. In a world where digital first approach to hybrid care is a certainty, it is also clear in my discussions with our clients that in the healthcare market, spending always requires rigorous prioritization. Hospital budgets are constrained and the challenges facing providers and payers include widespread technological fragmentation, staffing shortages in an urgent need to improve patient experience and outcomes. These are drive a demand to evolve to a digital first model and leveraging technology to achieve operational goals. Despite the inherent challenges our clients and prospects are facing today, we think these investment priorities play right into our strengths. As we take our solution to the market, we are listening carefully, adapting with agility and driving with urgency. Here are a few examples of this. First, we are learning that our unified, fully integrated hybrid care enablement platform, which glues together payers, providers, innovators, and patients, represents a large unmet need in the market. We are also finding that in addition to our buy for today expand when ready strategy clients are responding well to Converge component bundles, which already include a selection of our automated and asynchronous programs. And of course, we also understand that ROI and outcomes that materialize quickly are a must in today’s environment. And as I mentioned a moment ago, our library of examples is expanding. In response to this, we are going to market with an evidence based solutions oriented selling approach. This approach prescribes best practices picked by compelling references and examples that align with each client’s goals. Our teams strive in every conversation to convey that our solutions are the must have engine to resolve their pain points today, connect all stakeholders and deliver on their strategic aspirations for the long run. This involves deploying enterprise grade team of leaders from sales services and engineering to address some of our client’s most strategic needs. We believe this structure extends our footprint within the client organization and increases the value we can deliver from day one. As we look to accelerate our momentum in the market, during Q1, we launched initiatives aim at driving rapid adoption over our automated care programs. Our teams are packaging these programs to focus on significant unmet medical needs that also alleviate the financial pressures on healthcare today. Maternity ED Discharge, chronic disease and pre colonoscopy are just four of the many automated solutions with powerful outcomes included in these efforts. We also launched doing well a series of client best practices webinars, the first of which went live just a couple of weeks ago. The first of these features the CIO of Horizon Health Services. On Converge, Horizon Health is improving access to care and now conducts over 50% of patient care virtually. In the webinar, a client test that Horizon Health reduced the average wait time for members’ initial appointments from five days to one. They also lowered by 40-days the wait for psychiatric services by their members. A growing list of these webinars can be found on our website. We plan to add content every month, starting with compelling El Camino Hospital testimonial on May 17th. Feel free to ask Sue for registration link if you would like to listen. These webinars are valuable endorsements of our solution, which we believe will add to our growing momentum in the market. These examples are particularly important because we are finding that no two clients have the same hybrid care goals. There is no cookie cutter solution for evolving to the new paradigm. Clients are looking to solve for the most pressing priorities and the success of their peers provides powerful motivation to act, and increasingly we believe they will choose to partner rather than build a homegrown solution on which to deploy the right hybrid combination of virtual, automated, and in-person care. More broadly across our industry, it is increasingly clear to me that the market is taking note of our single open and connected infrastructure platform. An example of this is the partnership we announced in Q1 with Dario Health. We are pleased to add the Dario Cardiometabolic Health Program to our comprehensive portfolio of care solutions. The Dario solution addresses diabetes, high blood pressure and weight management needs with a holistic, highly individualized hybrid care experience. We have spoken before about the key benefit of Converge architecture. It can embed third-party solutions much like an app store. The value of this benefit is compounded because we already connect to so many payers, providers, and patients. For example, innovators like Dario can look to us to accelerate the progress in the market, tapping into the potential that exists with our install base of 2000 or so hospitals and payers that reach more than 90 million lives. Members and patients receiving care via clinicians on our platform can be referred seamlessly to a Dario program, minimizing roadblocks to accessible, simple and efficient care strengthening care continuity. And from a client’s point of view, accessing Dario through Amwell assists with vendor consolidation goals, streamlines reporting and accelerates adoption and utilization of new innovative tools. To summarize, hybrid care delivery is rapidly becoming the main highway for a variety of care modalities offered by all types of providers and services, but the path forward is complex. With our unique combination of technology, services and client experience, we believe Amwell is ideally suited to be the one-stop-shop, where our clients can access the benefits of the digital care transformation. No matter the time frame or pain point our clients are looking to solve for, our platform is purpose built and the future ready, funded on years of investing and understanding the needs of our clients. In Q1, we made progress towards all of our strategic initiatives. As we migrate our customers, deliver on Converge and the market response, we are solidifying our role as a digital transformation partner and we believe we are just getting started. With that, I would like to turn the call over to Bob, to review our Q1 financials, some key metrics and our guidance. Bob.
Robert Shepardson: Thank you, Ido, and hello everyone. I will start with a review of our operating metrics and then turn to financial results for the quarter. Active providers continues to be an important indicator of the sustained value our clients see in our platform. We ended the first quarter with 108,000 active providers, representing growth of 8% compared to a year-ago. Driving this growth was active providers employed by our clients, which also grew 8% in the same period. We anticipate that our number of active providers will continue to increase, as we migrate existing and implement new clients onto our Converge platform. Total visits were approximately 1.7 million in the first quarter, a decrease of 4% compared to last year’s COVID-driven first quarter. So they were approximately flat to 4Q 2022. Schedule visits increased 9% versus last quarter and represented 68% of total visits, in-line with our experience over the last few years during the pandemic at 70% to 75%. This represents a healthy sustained increase from approximately 30% pre-COVID. We continue to make steady progress migrating our clients to the new platform. And we are proceeding according to our plan. In Q1, successful migrations drove visits on Converge from 28% last quarter to 36% at quarter end. As we look toward the remainder of this year, we intend to complete migrations for the majority of our health system customers. As Ido said, payer migrations have begun and we expect to see a large portion of those visits transition to Converge early next year. And now onto our financial results. Total revenue was $64 million for the quarter, approximately flat to Q1 of last year and $15 million lower than last quarter. The bulk of this decline was accounted for by lower professional services revenue compared to Q4, which was very busy as we implemented strategic clients onto Converge. Subscription revenue was $28.7 million in Q1, relatively flat compared to the year-ago, quarter and down $2 million from last quarter. The customer churn we experienced in Q4 accounted for most of this decline and was already incorporated into our revenue guidance for the year. As we have discussed, we expect subscription revenue growth in the first half of 2023 to be impacted by the softness and bookings we experienced last year. While we focused on our strategic initiatives related to our Converge transition. Moving to visits in Q1, AMG visit revenue trended 6% higher than last year and was $32.5 million a mg. Visits grew 9% versus 1Q 2022. Average revenue per visit was $3 lower at $75 due to a higher mix of urgent care visits, which is typical for this time of year. The continuation of an unusually heavy flu season that began in 4Q 2022 drove urchin care volumes higher, and hence revenue per visit was lower for the quarter. Our services and care points revenue was 2.8 million for the quarter. This represents a decline of $2 million from the same quarter last year. These revenues are lumpy from quarter-to-quarter due to customer buying patterns for care points, as well as the timing of professional services revenues that precede deployments. We expect implementations for strategic clients to drive a substantial increase next quarter in services and care points. Revenue as we have discussed on prior calls, revenue of this type highlight the strategic long-term nature of our client relationships and the ROI they see in deploying our platform. They are also a leading indicator of the long-term increase in activity we expect to see on Converge over time. Turning to profitability, our first quarter gross profit margin decreased to 39.5% from 42.8% last year. Margins were negatively impacted this quarter by higher clinician onboarding costs in advance of new clients reaching run rate volumes. We also had higher professional services costs associated with customer migrations. Gross margins will vary from quarter-to-quarter on revenue mix, and we will drive toward higher gross margins as we move beyond this transition time and begin to increase subscription software as the percent of our revenue mix. Turning to operating expenses, Q1 R&D expense was $25.9 million and was $32.7 million after adjusting for capitalized software costs. This represents a 14% decline in capitalization adjusted R&D compared to $37.8 million last quarter. As we have discussed, we believe that 4Q 2022 represented our peak R&D spend. Given our progress in delivering Converge, we expect that R&D will remain at this level through Q2 and decline again in the second half of the year, and we will exit the year at a run rate meaningfully below the peak. Sales and marketing declined 2% and G&A expense declined 11% this quarter compared to last quarter, primarily due to the elimination of the non-cash compensation associated with the terms of a previous acquisition. Adjusted EBITDA for the quarter was negative $44.6 million, which was in line with our plans. Also in the first quarter, we recorded a $330 million non-cash goodwill impairment charge. This charge resulted from the sustained decline in our share price and associated market capitalization compared to the book value of our equity as of quarter end. Transitioning to the balance sheet, we ended the quarter with $507 million of cash and marketable securities. We are fortunate to have a substantial cash position as it provides the resources to fund this temporary period of investing and the flexibility to pursue strategic opportunities that are aligned with our goals. Turning now to our 2023 outlook. I would like to take this opportunity to reiterate our guidance range of $275 million to $285 million in revenue for the year established on our February earnings call. We are also on track to achieve our adjusted EBITDA guidance for the full-year 2023. As such, we expect our adjusted EBITDA to be in the previously highlighted range of negative $150 million to negative $160 million. We assumed AMG visits of between $1.45 million and $1.65 million in formulating this guidance. Wrapping up, we are encouraged by our progress to date. Our key metrics are trending favorably, and we have put much of the risk of our transition behind us. Our teams are executing in sales, product, and client migrations. We have earned the validation of important anchor clients who have selected to partner with us and evolve their care delivery strategies on Converge. The clients we have implemented onto Converge report a very high level of patient and provider satisfaction and technical success, and they gave us valuable referenceability with our prospects, and we are busy in the market with important customer facing events aimed at reaccelerating our market momentum. Thank you for listening. With that, I would like to turn the call back to Ido for some closing remarks. Ido.
Ido Schoenberg: Thank you, Bob. In closing, I’m proud of the work our team completed in Q1. We are driven every day to enable our clients, to achieve our company goals and pursue our mission. While the remain broader environmental uncertainty in our world today, the market for our solution is large, our role is unique and differentiated and the opportunity before us has never been brighter. With that, we are ready to conclude our formal remarks. Thank you for listening today. Operator, we are ready to open the line for questions. Thank you.
Operator: [Operator Instructions] Your first question comes from the line of Craig Hettenbach with Morgan Stanley.
Craig Hettenbach: Yes, thank you. You had some encouraging comments on Converge bookings. I was hoping you could maybe frame just how you are thinking about the timing elements of bookings you will see this year and then what that means for any type of inflection for 2024 revenue growth on Converge.
Ido Schoenberg: Hi, Craig. Good to hear you. The new platform is indeed showing very encouraging signs of strong acceptance in the market place with experiences, robustness, scale, performance and most importantly, ROI example, some of which I talked about in my prepared remarks, that are all fueling our re-accelerated bookings. It is important to note also that the new platform Converge has is much bigger and has much broader opportunities for clients to leverage as they realize their business goal. We fully expect for this acceleration of bookings by both existing and new clients to accelerate gradually, and the momentum will grow overtime more and more as more proof points are being delivered. However, the trajectory and the direction is very apparent and as I mentioned earlier, we are very optimistic about our ability to continue to play a dominant role in this market. Bob I don’t know if you have anything further to add.
Robert Shepardson: Yes. I would just add, Ido that, Craig, our implementation timeline from bookings to go live, really depends on the complexity of the implementation to clients. But I guess assumptions around six to seven months are on average probably reasonable. And so as you think about when revenue starts to show up from a new customer contract, it is that kind of time frame.
Craig Hettenbach: Okay. And then maybe just switching gears when I think about the increasing needs to address mental health, was looking for an update on kind of what you are seeing in the SilverCloud business on that front?
Ido Schoenberg: I need to ask Craig. I agree with you completely that the ever health is a very urgent need in the marketplace and indeed our ability to offer comprehensive elements that relate to be able health to the whole person independently and together with other programs and care intervention is really key to the value that we generate. Your question really relates to a time, where we had maybe 30 or 35 different products that were running in parallel and we tracked them separately. It is so refreshing and exciting to see that we really have one product, and that is the Converge platform today and the different components are intertwined into this one platform, where behavioral health is still a very dominant element, but we don’t look at it separately, and we don’t report it separately. It is really one set of a total person improvement that we offer to our customers.
Craig Hettenbach: Thank you.
Operator: Thank you. Your next question comes from the line of Alan Lutz with Bank of America. Your line is open.
Alan Lutz: Thanks for taking the questions. Ido, one for you. You mentioned a lot of nice wins during the quarter. I just want to get an update on the macro here. As you kind of think about, where the macro environment was three to six months ago, where it is now and then kind of where it is going to go for the rest of the year? What is embedded in the guide? Is there an expectation that macro environment improves it all over the course of the year in order to hit that or stay the same? Just trying to understand kind of what is embedded in the guidance. Thanks.
Ido Schoenberg: Alan, we see what you probably and many other people on the court see. There is great uncertainty in the marketplace and that of course touches everyone. There is a slight improvement in the sentiment of health systems in the past few months and maybe a little bit more cautiousness in health plans. But overall, the sentiment is very much what it was before. What we see, however, that there is great receptivity to our offering today for two reasons. A, our clients understand hybrid care enablement is really necessary for them as an infrastructure both short term and long term. And they are also very encouraged by our ability to show ROI very, very quickly and I gave quite a few examples in my prepared remarks. Overall, we believe that our guidance that we are reiterating today is realistic and reflect well both their short term and midterm headwinds and tailwinds that relate to the combination of our offering and some of the hardship that our clients are experiencing in the marketplace.
Alan Lutz: And then one for Bob. You mentioned R&D, it sounded like 1Q and 2Q will be at about the same level, and then it sounded like there might be another, some type of step down in 3Q. Just want to verify that that is correct. And then, is it fair to assume the cap software that you guys reported in 1Q is the right run rate for the rest of the year?
Robert Shepardson: You got it right that, we expect Q2 to be a lot like this quarter in terms of the R&D spend, and then another step down in the back half of the year. The cap software probably is about the same next quarter, I would say a little bit less visibility on the back half of the year. So, I would expect that we definitely see around the same level next quarter. Third quarter could be a good bit less, and it kind of just trail off. So, I wouldn’t assume that it is just kind of at this level for the rest of the year. It would definitely be lower in the second half. I’m just - it is hard to forecast exactly how much lower.
Alan Lutz: Got it. Thank you.
Operator: Your next question comes from the line of Charles Rhyee with TD Cowen. Your line is open.
Lucas Romanski: This is Lucas on for Charles. Last quarter you guys noted that the revenue guidance was primarily consisting of bookings and implementations that you had a high degree of confidence that you would convert to revenue. Given that you reiterated your revenue guide has anything changed with those underlying assumptions that you laid out with at 4Q?
Robert Shepardson: No, I think, the assumption, I mean, it was a few weeks ago. The assumption behind the guide are still the ones that are influencing how we are looking at the year, and so I would say no change regarding that.
Operator: Your next question comes from the line of Jack Wallace with Guggenheim. Your line is open.
Jack Wallace: Thanks for taking my questions. Got a couple with regards to the billings, and I just, you will want to make sure that I have got this understood correctly. It sounds like there is a six to seven month lag from, say, booking a client to then booking revenue. When you book a client, when do you bill them in that timeframe? Is it right before revenue rack or is it a little bit beforehand?
Ido Schoenberg: Usually, it is at the beginning at their - we will build them.
Jack Wallace: And then, it looked like there was a pretty big step up quarter-over-quarter and your calculated billings this quarter could you just help us better understand how much of that was of sort of put it in three buckets up selling you customers that have migrated to Converge higher utilization, new triggers and contracts, and then new customers, because it sounds like there is a couple of those in the quarter as well.
Robert Shepardson: Well, the tough to - I would have to go through the customer by customer there, Jack and come up with the bucketing. But because I don’t have that at my fingertips. But there is a mix of new customers in our billings for the quarter. And also up-sells the migration doesn’t really result in any new revenue. So that they would be on the same billing, I’m sorry, billing cycle that they were on before. So it is really, it would be to the degree there is changes positively. It is new customers and up-sells.
Jack Wallace: Got it. Thank you. That is really helpful. And then lastly, is there any - has there been any change to the expected level of customization that has taken place during the existing and anticipated go-lives or migrations?
Ido Schoenberg: Well, Jackie, it really varies. There is no question that are strategic, and some of them are quite known, like CVS and others are doing enormous lot on our platform. That requires a lot of heavy integration and customization, because they do so much. Others are simpler. So I think, we see the full spectrum. It is important to note that those customizations are paid for and are definitely accretive to the company. So we expect to see more of them as the level of sophistication general, in the market is expanding in a nutshell, telehealth three years ago cannot be compared to hybrid care enablement that we see in the marketplace today. It is just a very, very different offering with very, very different level of commitment, both on Amwell side and the client side.
Operator: Your next question comes from the line of Ryan McDonald with Needham. Your line is open.
Matthew Shea: Hey this is Matt Shea on for Ryan. I appreciate you taking the question. Wanted to follow-up on the large expansion with the multi-state Blue Cross Blue Shield plan. Sounds like they chose to expand you guys beyond telehealth and also Converge help drive some vendor consolidation. So wondering if you could just share what some of those features beyond telehealth were, and then is there any way to think about how many vendors a Converge like platform can replace or what value you guys bring to these health plans that incumbents maybe weren’t bringing prior?
Ido Schoenberg: Sure. So Matt, well I cannot talk about specific clients in general almost most of our existing payers and all the new ones are very interested in implementing a digital first infrastructure for hybrid care, which means that they expect their own digital door and sometime other digital doors to enable their members to go online first, and then use the platform to get matched with an array of physical interventions, doctor visits, labs, imaging, virtual services of different kinds and growingly automated program, all working in harmony. The client that we mentioned is no exception to that. The biggest value proposition of Converge is not the fact that it checks all the boxes, although it can check quite a lot of the boxes independently. But rather, it is integrated modularity. So whether it is the user interface, the U.S. or the different components, digital and otherwise, services and data that we basically connect to create coherent for reproducible experience. So in many cases, we don’t ask our clients to shutdown and terminate different relationships they have or different programs, but rather create a joint vehicle to create consistency, reproducibility and coherence and simplicity in the experience that all those interventions combine in the aggregate. It is very possible that, overtime, our clients will prefer working with solutions that come integrated out of the box with relationships that we already announced and some to announcement in the future just to really reduce the number of vendors that they have and to guarantee a very streamlined experience.
Matthew Shea: Got it. I appreciate that. And then following up on the macro, in the past, you have called out churn occurring at the lower end of the market with some of your SMB clients. Do you still see churn contained to that part of the market and then you have also noted that some of those that churn also have come back, how is that trended?
Ido Schoenberg: So we are going through a very critical life cycle event in our company, which is very public, which is the re-platforming. When you re-platform, your legacy platform is hard to sell. The new platform takes time to get ready. And churn is really part of life. We did take that into account in our guidance. We fully expected it. Virtually all our strategic large clients remain there with us, who is transition something we are very, very proud of, also because we believe that what we are able to offer is fairly unique and quite complex. Not surprisingly, as you mentioned, we did lose some of the simpler clients that just couldn’t care to wait and there were good offers in affordable price in the marketplace. Our ability to win depends on the mission and the business goals of our customers. If your only goal is to offer video visits between two points, there are plenty of very good solutions in the market. Our competitive advantage there is minimal, and it is mostly relevant if you have plans for the future to further expand. However, if you have retail stores and PBMs and membership and many other elements and you want to bring all this complexity together, into a cohesive infrastructure, we are really very good at that, and of course the market is in the middle. We believe that, as we are now looking at the mid-2023 timeframe where we pretty much have all - virtually all the components that we need that are always potential for more, but all the relevant components that most of the people need most of the time, we will see much less churn really across the board and then definitely plan to strengthen and expand our midsize and large customers for enabling their own mission, which totally align with ours.
Operator: Your next question comes from the line of Jailendra Singh with Truist. Your line is open.
Unidentified Analyst: Hi. This is [Jaya] (Ph) on for Jailendra. Can you talk more specifically about the customer of move out trends you have been seeing from both the health systems and health plans side as these contracts are coming up for renewal, how are these conversations evolving? Are you seeing some of your customers willing to restructure the contract in some ways or is it still more or less status going on the approach?
Ido Schoenberg: So again, we have different customers with different patterns or behavior. Essentially the structure of Converge sale and packaging is different from a legacy product. You really buy one platform. But it is very normal for our customers to start with what they do today. They really want a smooth transition to IM parity to check the boxes. They are already checking, but it is not uncommon, as I mentioned on the call, to see them adding some components with good emphasis on automation. So our longitudinal automated program are usually quite popular as they come to renew and expand. So far we are very encouraged by what we see in a way of renewals and client retention. The most well known one, the famous one is elegance, very important partner for unwell that made that. And we announced it I think on our last call and made that decision solely related to Converge. There are quite other large clients that really are doing the same thing. However, it is already quite clear that once people migrate, the first thing we see is a nice bump in volume, which is quite, quite impressive versus the past. That is maybe one of the immediate benefits of the platform that gives us a really good talking ground to begin to expand the client to the many other options of the Converge.
Operator: Your next question comes from the line of Glen Santangelo with Jefferies. Your line is open.
Glen Santangelo: Thanks for taking my question. I just had two quick ones. I wanted to talk about the progression of revenue growth here o over the cadence of the year. If you look at last year in your services and care points revenue, you obviously saw a big ramp as, as the year progressed. And we see the big sequential step down in revenues this quarter from last quarter, which is obviously largely services and care points revenue. I’m kind of curious, do you expect to see the same type of ramp on that line item this year versus last year? And I just had a follow-up question on the margins.
Robert Shepardson: Hey, Glen, it is Bob. In my prepared remarks. I tried to signal that we expected to see a pretty meaningful increase in our services and care points revenue next quarter. And, it is really - I don’t think it is like a gradual build throughout the year kind of thing that is driving this, it really is strategic client driven, they want us to work with them on a custom product or implementation. We do that and we get paid for it based on we recognize the revenue based on when those hours are spent happened to be last year. It increased over the course of the year, probably will this year too. But it is really again, a function of when those clients come in with those kinds of requests. It was unusually low this quarter, and I think it will be kind of back on a like kind of in a -- if you look historically more of a normalized level next quarter
Glen Santangelo: That is helpful, Bob. If I could just ask you one more, quick one on the gross margin. So, we obviously saw the mar the gross margins tick down this quarter, and in your prepared remark, you said maybe higher clinician onboarding maybe before these physicians are reaching full capacity. But assuming you have been migrating customers to Converge for a number of quarters now and we saw, for example, in 4Q the gross margin was up nicely versus 3Q last year and was somewhat more consistent last year. So it just seems a little bit odd that the gross margin ticks down this quarter. And the reason I ask is because I’m trying to think about in your EBITDA guidance, you are assuming some leverage throughout the year, and I’m trying to understand where that leverage is going to come from because - and I think you highlighted R&D is going to step down, but any other clues to help us think about where that EBITDA leverage comes from in the back half of the year?
Robert Shepardson: Yes. I think, a lot of this step down, I mean the services revenues Glen, are generally higher margin than the overall margin of the company right now. If you think about our visit businesses mid maybe a little bit better than mid-20s gross margin. And then our services, I’m sorry, our subscription business high 60%, 70% right now. The services revenue that is kind of the strategic implementation work is accretive to that gross margin. And so when you have a big quarter like we did in the fourth quarter and then a big step down in the first quarter that is certainly going to influence gross margins. And then to get to the other components of your question, it was really specific ramp up with a specific customer in our APC business. So it is kind of - it is not just general we are adding a lot more doctors. It is our -- in our site business and they take time to build and that is obviously very high revenue per visit type business. So we have to get those in place for our SLAs before our customers are going to be in a position to ramp up those visits. So that is the other thing. And then on the migration, the other thing that influenced the quarter from a gross margin perspective was a lot more migration work than the year-ago quarter. And that is obviously good news. As we get that get more and more of our visit traffic onto Converge. The leverage on the EBITDA side is going to be associated with probably a lot of those different line items, certainly subscription revenue with very high margin flow through there. And then again on the services side, that will also be accretive to gross margin. But that is kind of over the course of the year and you did mention already the step down in R&D, which from an exit rate in the2022 to what we expect to exit in 2023, it really is a pretty material step down. That is not a gross margin impact, but more of an EBITDA leverage impact. But we are down 14%, 15% now quarter-over-quarter, we could see another 10 points of decline in the difference between fourth quarter last year and fourth quarter this year, as that Converged spending really comes down.
Operator: Your next question comes from the line of Stan Bernstein with Wells Fargo. Your line is open.
Stan Bernstein: Hi. Thanks for taking my questions. I think a few quarters ago you had commented that, your sales reps are all hands on deck to help to drive migrations. So it was nice to see you are announcing some marquee wins here. My question is, in light of these new wins, has there been any change in your go-to-market strategy are you perhaps more focused on driving new wins than you were a few quarters ago? Thanks.
Ido Schoenberg: Understand. Absolutely, yes. So if you think the change in our product was small, what is happening it significant, I’m sorry, what is happening in SG&A is just as significant. I mentioned earlier in our prepared remarks that, we are moving to solution based sales. Because Converge can offer so much business impact to our customers, our entire client facing organization from sales, account management, customer success and a newly found solution group, which is almost entirely based on engineers are working in together to really create a consultative model of sale with our existing and new customers. We present a very long list of business solutions that they can choose from and prioritize. We really understand their own priorities go back, and we are able because of the modularity of Converge to really custom and create something that fits very well to what they need today with giving them a peace of mind that we can be there for them as they expand in the future. And that is proving to be quite effective tool to help people migrate, to help the migrated client expand and to lend some new customers. So we are very pleased with change. We think we can add more value and we think that our value is much more sticky and long-term with our existing new customers.
Stan Bernstein: Thanks.
Operator: Thanks. Your next question comes from the line of Jonathan Young with Credit Suisse. Your line is open.
Jonathan Young: Hi. Thanks for taking the question. Just going back to the macro again. I guess, when you think about some of the consolidation either in the health system or the health plan space, how do you see this impacting your business and are you seeing any impact right now, given some of the announcements that have come over the last few months and if you go back historically, could you speak to any historical trends you may have experienced in prior periods of consolidation? Thanks.
Ido Schoenberg: So in essence, you see consolidation in many, many places, of course. You see delivery network consolidate, you see payers and providers consolidate and really there are many, many models. When you consolidate, you really want to work through some complex challenges in way of experience integration for providers and patients in data integration, workflow integration to create a common efficiencies and things of that nature, and that is exactly where we signed. When you think about value-based care is an example of either formal consolidation or tighter collaboration between sponsors payers and providers, our ability to have one tech stack, one technology that can really create a very powerful bridge between them is proving to be fairly effective for them to realize those goals. So I will give you some examples. If there is a consolidation between few hospitals that have different EMRs and different workflows our ability to really implement Converge in all those EHRs and to create a consistent patient facing infrastructure and then embed fairly sophisticated workflow is a very efficient way to really accelerate the value of this consolidation. The ability to take a pay a very big brand like Cleveland Clinic, and then have them participate in sophisticated products of people like Optum or - in areas of second opinion and others is yet another example of partnership that are not, again, official consolidation, but I will be demonstrative of more and more integration of experiences. And that is really our business in a nutshell.
Operator: Your final question today comes from the line of Eric Percher with Nephron. Your line is open.
Eric Percher: Thank you. A little bit different topic. Curious to hear, a little bit more of where relationships like Dario could go and specifically, are there other categories that you would like to see similar relationships and then looking at the balance sheet are there acquisitions that you would undertake, recognizing that it seems the market is starting to reflect a more realistic view of valuation and we are seeing a few deals get done. What is your perspective there?
Ido Schoenberg: Hi, Eric. Well, we are very pleased with Converge. We have all the components that we think, we need and we don’t see any unmet need that would drive a necessity to do any type of M&A. As a reminder, we look ourselves as a connecting platform and not basically bringing all the solutions ourselves, but doing it in way of partnerships, very much like an operating system. And an app in the Dario, as you mentioned, is a great example. We even believe that there is room for more than one player in the same field. We would like to integrate to as many as possible and basically let our customers choose between reliable solutions that are fully integrated and certified by us. So in that way, we don’t see any compelling need. If we would do a theoretical M&A, it will be in an asset that is likely to be technological that will make our - the core mission of our platform better. And as I mentioned, there is no really a short term or midterm plan for that. In addition to that, I would like to say that we really appreciate the fact that we are very strong cash position. The world is a dangerous place and we want to make sure that we buffer that risk with a strong balance sheet and the fact that we have no debt on our books, that allows us great conviction in our ability to realize our business plan. In addition to that, we are very sensitive to diluting our shareholders and our cognizant of our stock price today, and we will be very careful before we suggest any move that could increase the dilution. Of course, if some of those things change, if the market stabilizes, our stock hopefully recovers, and we continue, we will maybe leverage some of the proactive effort that we make to monitor the market, which we do all the time, regardless of what I just said, and act on some of those opportunity, but that would be down the road and not in the foreseeable future.
Operator: This concludes our Q&A for today. I now turn the call back to Dr. Schoenberg for closing remarks.
Ido Schoenberg: Well, thank you everyone. Thank you for listening, and thank you for your support of Amwell.
Operator: This concludes today’s conference call. You may now disconnect.